Operator: Good day, ladies and gentlemen, and welcome to Schnitzer's Fourth Quarter and Fiscal 2015 Earnings Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would like to introduce your host for today's conference, Ms. Alexandra Deignan. Ma'am, you may begin.
Alexandra Deignan: Thank you, Karia [ph]. Good morning. I am Alexandra Deignan, the Company's Vice President of Investor Relations. Welcome to Schnitzer Steel's Fourth Quarter and Fiscal 2015 Earnings Presentation. Thank you for joining us today. In addition to today's audio comments, we have prepared a set of slides that you can access on our Web-site at www.schnitzersteel.com or www.schn.com. Before we get started, let me call your attention to the detailed Safe Harbor statements on Slide 2, which are also included in our press releases of today and in the Company's Form 10-K, which will be filed later today. These statements in summary say that in spite of management's good faith current opinions on various forward-looking matters, circumstances can change and not everything we think will happen always happens. Please note that we will be discussing some non-GAAP measures during our presentation today. We have included a reconciliation of those metrics to GAAP in the appendix to our slide presentation. Now, let me turn our call over to Tamara Lundgren, our Chief Executive Officer. She will host the call today with Richard Peach, our Chief Financial Officer.
Tamara Lundgren: Good morning, everyone, and welcome to our fourth quarter and fiscal 2015 conference call. This morning we issued our press release which is posted along with our slides on our Web-site. Today we are going to discuss our markets, the significant transformation we have accomplished in our business model and our fiscal 2016 priorities. We are excited about our progress and the execution of our strategic initiatives which we believe will provide substantial forward earnings power. Although 2015 was another tough year from a market perspective, we took action early which resulted in strong quarter over quarter improvements. The market continued to experience substantial headwinds from slowing global growth, steel industry overproduction, the knock-on impact of lower iron ore prices and a strong dollar. However, we did not simply wait for things to get better. Our team acted swiftly and with great focus to implement a broad and detailed set of initiatives which have level-set our operations for this new market environment. Our accomplishments are clear. We improved our operating margins and delivered strong quarterly cash flows in an environment of sharply falling sales prices and weaker demand. We delivered ahead of schedule on productivity improvements and cost savings initiatives and these results are clearly visible in our fourth quarter earnings and cash flows. We completed the integration of our Auto Parts and Metals Recycling businesses. We achieved initial synergies from the combined platform and we expect to capture further synergies in fiscal 2016. We developed our logistic capabilities and invested in process improvements, both of which enhanced our competitiveness in the domestic market and provides flexibility to our platform. And lastly, we continued to return capital to shareholders while strengthening our balance sheet. As you'll see throughout our presentation today, we are taking actions to reduce our costs, to maximize metal spreads, to deliver strong operating cash flow and to drive further synergies between our businesses. Although we experienced lower prices and volumes in fiscal 2015, what you will see in this presentation is that because of our initiatives we have been able to increase our margins in the face of significant headwinds. Furthermore, we expect the actions we already have underway will lead to higher annual EBITDA and operating income compared to recent years. On Slide 4, I'll take a moment to discuss market trends. Now I'm sure that you are all familiar with the substantial decline in ferrous and nonferrous market prices throughout the fiscal year. In the ferrous market, the significant downward trend in export scrap prices resulted from a variety of factors, including the rebalancing of the historical iron ore to scrap ratio, China's substantial overproduction and export of finished and semi-finished steel products, and the strength of the U.S. dollar. In fiscal 2015, these factors contributed to the 15% decline in the U.S. industry's ferrous scrap exports and $150 per ton drop in market ferrous sales prices. The domestic market experienced a similar decline, impacted by imports and to a lesser extent from weaker export demand. Nonferrous prices also declined substantially impacted by global macroeconomic headwinds with base metals prices hitting six-year lows, falling roughly 25% during fiscal 2015. Notwithstanding this drop in prices and demand, our own results substantially improved during fiscal 2015 due to our ability to adjust the scale and efficiency of our operations to meet rapid changes in prices and market demand. We continued to deliver operating margin improvements during fiscal 2015 while at the same time delivering solid quarterly cash flows from a combination of higher earnings and strong working capital management. Turning now to Slide 5, I'll highlight our annual performance trends. These graphs provide a snapshot of our key financial accomplishments. Beginning on the top left, you can see the significantly improving trend of consolidated operating performance from the first half of the year to the second half when the results of our strategic initiatives began to show through. As we have noted throughout the year, we have absorbed a significant adverse impact from average inventory accounting. If you exclude this impact from our results, you can see our operating income has improved 54% from the first half of the year to the second half. We improved our performance trends amid the worst sustained market conditions this industry has experienced in more than a decade. From lackluster economic growth and currency devaluations to global commodity overcapacity, macro conditions have far outweighed the positive forces affecting the U.S. economy, such as strengthening GDP growth and better employment trends. The scrap industry has faced the lowest prices since 2009 and the lowest U.S. export volumes in a decade. However, our Company's platform continues to demonstrate resilience in the face of these global market crosscurrents. So now let me ask you to turn to our most recent quarter performance, which is set forth on Slide 6. Our fourth quarter operating performance improved significantly from the third quarter reflecting higher profitability in both the Auto and Metals Recycling and Steel Manufacturing businesses. While ferrous volumes were pressured by sharply falling prices, AMR nearly tripled its adjusted operating income per ton due to a combination of productivity and cost savings initiatives and the reduced adverse impact from average inventory accounting. At SMB, stronger sales volumes underpinned a nearly 40% increase in operating income which contributed to its highest annual performance since 2008. On a consolidated basis, we announced adjusted earnings per share from continuing operations of $0.31. Excluding average inventory accounting, our underlying performance was well ahead of last year's fourth quarter despite substantial drops in our average ferrous and nonferrous sales prices and a decline in quarterly ferrous sales volumes of 19% year-over-year. Our strong performance in the fourth quarter underscores the robustness of our platform and the best-in-class operational execution of our team. We have considerable runway to deliver enhanced earnings power and I will discuss our fiscal 2016 priorities in more detail at the end of our presentation. At this point, I'll turn it over to Richard for a more detailed review of our segment performance and our capital structure.
Richard Peach: Thank you, Tamara. I'll start with Slide 7 which is a review of the Q4 results for our nearly integrated Auto and Metals Recycling Business. As you see on the top left-hand graph, throughout fiscal 2015 AMR has demonstrated an increasing trend of quarterly performance. This trend has been particularly evident in the second half as benefits from productivity improvements have shown through the results. Fourth quarter adjusted operating income per ton of $17 was achieved despite lower ferrous sales volumes which were down 8% sequentially due to the weaker export demand. In these changing markets, earlier time approach to adjusting buy prices is a key enabler to maximizing our cash metal spreads which in turn supports our higher margins. Excluding the estimated adverse impact of average inventory accounting, our per-ton performance had improved by over 40% since our second quarter. The trend of underlying performance is important because similar to other inventory methods, such as LIFO or FIFO, the use of average inventory accounting can distort results in periods with significant movements in market prices. Before I comment on shipment trends, I should point out that our quarterly volumes for both ferrous and nonferrous now reflect the integrated Auto and Metals Recycling Business including the comparative information which we present within our earnings material. In the fourth quarter, 41% of our ferrous sales were to domestic markets, including our own steel mill, which partly offset the weaker export demand. We have been able to increase domestic sales proportionately because we enhanced logistic processes to increase our reach domestically, to optimize methods of transportation and by gaining contract efficiencies in procurement. We have also invested in process improvements which have allowed our mill to increase productivity and create more synergy from vertical integration. These strategies provide increased flexibility in our platform and enable us to sell domestically or by export, whichever provides the highest economic benefit. Lower ferrous volumes were offset by higher nonferrous sales of 176 million pounds, which increased sequentially by 23%. The higher nonferrous volumes were driven by increased selling activity and from timing of shipments, both of which contributed to the strong finish to fiscal 2015. Car purchase volumes for retail stores also increased sequentially by 11%. This improved car flow reflected the supply side adjusting to previous drops in commodity prices which had adversely impacted third quarter volumes. Since the end of our fourth quarter, we have seen a further decline in ferrous market prices of approximately $50 per ton. In light of this, we expect our first quarter will again be impacted by average inventory accounting which we estimate could be around double the effect we saw in the fourth quarter. Absent the impact of average inventory accounting, we view the margin expansions from internal initiatives as sustainable and indicative of the earnings power of our efficient business model which is matched to these challenging market conditions. Now moving to Slide 8, I will review the fourth quarter performance of our Steel Manufacturing Business. SMB's operating income of $6 million was a sequential increase of 39%. Benefits from higher sales volumes more than offset adverse impacts of lower average selling prices as well as the pressure coming from imports. Sales volumes of 145,000 tons increased by 3% sequentially on improving demand in West Coast construction markets and the continued positive quarterly trend of the past year. Rolling mill utilization was 74%, an increase of 450 basis points sequentially and which reflected the stronger demand and a scheduled maintenance shutdown in the previous quarter. Overall, the Steel Manufacturing Business delivered its best annual results since 2008. Now moving to Slide 9, I'll summarize cash flow, capital expenditures and net debt. Our fourth quarter operating cash flow of $65 million enabled further reductions in total debt of $49 million while still funding CapEx and our quarterly dividend. The year-end net debt was $205 million, a net leverage of 28%, was a sequential decrease of 460 basis points. The positive cash flow continues our strong trend and was driven by improved EBITDA and from lower working capital. The higher EBITDA includes benefits from positive metal spreads and from our actions to lower our cost base. Besides reductions to working capital which come from lower prices and volumes, we've also benefited from execution of operational strategies including an increase in inventory turns by 24% over the past 12 months. Capital expenditures totaled $9 million in our fourth quarter, and for the year as a whole our CapEx was $32 million, down 17% on the previous fiscal year. Looking ahead to fiscal 2016, we expect capital expenditures to be in the range of $40 million to $50 million on maintenance, environmental projects and safety-related programs. Before I pass the presentation back to Tamara, a couple of comments on taxes. The finalization of the year-end tax provision resulted in an allocation of tax benefits to our reported GAAP results for the fourth quarter. As these benefits mainly arose from impairments, there was no impact on our adjusted earnings per share. Looking ahead to fiscal 2016, we expect the full year tax rate to continue to be low as we will utilize prior year tax losses to offset a high proportion of new tax expense on earnings. Now I'll turn the remainder of our presentation back over to Tamara for her summary remarks.
Tamara Lundgren: Thank you, Richard. We made significant strides toward our goals in fiscal 2015 and we have laid the groundwork to continue delivering higher results in fiscal 2016 despite a still soft market outlook. Our focus is squarely on increasing long-term shareholder value through a variety of strategies intended to drive operational and economic benefits. If you take a look at the left-hand column on this slide, you can see that during fiscal 2015 we have realized significant traction on our cost savings and productivity initiatives that we outlined earlier in the year. We beat our own delivery dates on these initiatives and we expect to generate higher results in fiscal 2016, in part from a full-year impact of these benefits. We completed the consolidation of our Auto and Metals Recycling Business, and through continued focus on operational performance, we aggressively increased our inventory turns. We also made investments in technology, both to significantly enhance our buy program across our Auto and Metals supply-chain and in process improvements to improve our logistics and to reap productivity benefits at our steel mill. On the right-hand side of this slide, you can see that there is additional runway for us to deliver significantly higher performance from investments across our platform. In the first quarter of fiscal 2016, we are seeing downward pressure in scrap prices and volume. However, the relationship between scrap and iron ore appears to be rebalancing and moving closer to its historical relationship. This should support more stable prices and normalized demand levels from EAF producers going forward. Significant change is occurring across the competitive landscape and we have both the appetite and the capacity to build on our platform. We plan to continue to assess new opportunities while at the same time continuously improving our core operations, maximizing profitability and returning capital to our shareholders. So now let's turn to our final slide. My message to you today is straightforward. In the face of rapid price declines and lower demand, we are taking substantial steps to improve our future profitability and to continue our trend of positive cash flow. As we look ahead, we are not relying on the market to drive improved performance. We are directing our actions towards the things that we can control. Lowering our costs, operating efficiently, meeting our customers' needs and generating synergies between our businesses, all of these actions should contribute to higher earnings going forward. In closing, I'd like to thank our most important resource, our employees. In fiscal 2015, our business continued to withstand significant market challenges through a coordinated series of operational and organizational initiatives. It hasn't been easy, but it is creating more opportunities for all of us, and I could not ask for more dedication, ingenuity and passion. Our team has operated in lockstep across our platform and delivered on each target without wavering from our core values of safety, environmental stewardship and quality. We have seen the highest level of professionalism, operational excellence and execution in the midst of this global commodity imbalance. My greatest admiration and thanks goes to our 3,000 employees. You have truly demonstrated why we have continued to be a leader in the recycling industry for well over a century. Operator, let's open up the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Brent Thielman of D.A. Davidson. Your line is now open.
Brent Thielman: Tamara, with the Auto Parts and Metals Recycling integration, you've talked a lot about the cost synergies and those continue to come, but was curious sort of how you might see it helping you in terms of being able to respond to the market, especially given the current environment?
Tamara Lundgren: Sure. One of the biggest benefits of AMR from an operational perspective is the simplification, the simplifying, the clearing of our supply-chain. By bringing the two divisions together, our purchasing operations and our sales operations become much more integrated, they can act much more nimbly, they can adjust to prices in a much more coordinated effort. And that therefore enables us to process our inventories better, it enables us to buy better and sell better, turn our inventories more quickly. So it really, I use the term, it clears the artery of our supply-chain and really allows us to capitalize on the underlying connection between those two businesses.
Brent Thielman: Okay, that's helpful. And then staying in the recycling industry, there used to be discussion about kind of entrepreneurs will call them coming into the industry, not necessarily opening up processing facilities per se, but kind of engaging the sort of areas where you are sourcing inventory. I'm curious how you are sort of seeing that shake out now through this latest market turmoil, particularly with the market today, and are you finding some buying power is returning when it comes to acquiring unprocessed scrap?
Tamara Lundgren: I think that on the supply side with prices and volumes trending as they have over the course of the last year, we have seen – just as we have seen on the processing side, we have seen our suppliers exit the market. And I think that as a result, that has resulted in market share gains on, if you would say on a voluntary and involuntary basis, for the companies like us who have more scale and have more diversity.
Brent Thielman: Okay. And then on the steel side, the volume is down year on year. Is that a mix or timing issue there?
Tamara Lundgren: Generally we have seen prices fall on steel prices across basically all products, whether they are the ones that we deal with, the [long] [ph] products, or other products and what we are seeing is prices are moving basically in tandem with scrap prices.
Brent Thielman: But on the volume side I think the volumes are lower from last year. Is there anything – I mean I know the construction markets are getting all healthier on the West Coast.
Richard Peach: I don't think there's anything in particular there, Brent. I mean we've seen actually a trend of improving volumes throughout fiscal 2015 which has contributed towards the Steel Manufacturing Business having its best year in profitability terms since 2008.
Brent Thielman: Okay, thank you. I'll get back in queue.
Operator: Our next question comes from Tyler Kenyon of KeyBanc Capital Markets. Your line is now open.
Tyler Kenyon: Just with respect to the consolidation of the Metals Recycling and Auto Parts Business, I think you mentioned in the prepared remarks that you had benefited a bit in the quarter from some of these synergies. So was curious if you could provide maybe what an absolute impact was in the fourth quarter, and/or if you are ready at this point, provide us maybe some targets as far as what some of the synergies could be moving forward here?
Tamara Lundgren: Sure. Let me give you a little bit more detail on synergies. So you can think about it, as I said before, in terms of improving the efficiency of our supply-chain. So it enables, combining the two businesses enables us to streamline our purchasing and sales activities. It obviously allows us to consolidate our finance, IT and HR functions. It enables us to improve our CapEx planning and make decisions on an enterprise-wide basis versus a specific division. So those are the strategic reasons for doing it. And if you look at specific performance that has resulted in – recognize, the combination of the two divisions into the new AMR division is only one quarter old, you will see the increase in our inventory turns, you'll see that notwithstanding significant drops in prices we did not absorb any NRV, you'll see that car purchase volumes increased sequentially, third quarter to fourth quarter, which is a reflection notwithstanding lower supplies in the supply-chain and lower prices our ability to price more effectively. And all of that together led to a significant increase in margin. And my answer may be going on somewhat long, but let me point you to Q4 of last year versus Q4 2015, and this is on an AMR to AMR basis, an apples to apples basis, in Q4 of last year we did not have any average inventory impact, in Q4 of this year we estimated our average inventory impact, and so on an apples to apples basis our operating income per ton in Q4 of last year was $18 a ton and this year it was $23 a ton, notwithstanding that volumes Q4 to Q4 were down 19%. So that margin improvement is a combination of the productivity actions we took, the cost reduction actions we took and the efficiency of integrating those two divisions.
Tyler Kenyon: Okay, great. And then just you are seemingly more balanced with respect to your mix between your domestic shipments and export shipments, and I'm just curious, is this kind of a permanent shift moving forward where you can be more flexible and is it a sustained maybe moving forward looking like a 50-50 domestic/export mix, or just clearly it's an indication that you're able to be more flexible with your business model, I'm just trying to get a sense for how sustainable that could be moving forward and kind of where you're seeing the opportunities in fiscal 2016 and beyond?
Tamara Lundgren: We are not locking into a fixed ratio. Our objective is to stay nimble and to be able to access markets wherever demand is greatest. So we have evolved our platform so that we can continue to optimize that mix.
Tyler Kenyon: Okay. And then just one last one on the nonferrous business, I think it was indicated in the press release that there was maybe some catch-up from some shipments in the nonferrous business and your pricing looked pretty resilient as well, and I think you indicated benefiting there from some mix. Just wondering how we should be thinking about volumes as we enter here into the first quarter of fiscal 2016 and how sustainable you view the pricing with nonferrous pricing dropping to levels that they are now.
Richard Peach: It's Richard. Let me make a few comments about our fiscal 2016 Q1 outlook and I'll cover nonferrous as part of this. In Q4 we had a $5 million adverse impact from average inventory accounting, and in our prepared remarks you will have heard us say that given the severity of the market drop, we might expect that to be around double the impact in the first quarter. So when we look at where we might come in excluding the impact of our average inventory accounting, we reckon that if you look at last year's Q1 of $19 a ton and Q2 of $16 a ton, we may well come in somewhere in between these two levels excluding average inventory accounting, which really supports what we've been seeing on the consistently higher underlying margins that we are achieving in our business. As far as volumes are concerned, from a ferrous point of view we will see some impact of the recent fall in the market. And again, if we look back to Q1 of fiscal 2015, we did 984,000 tons, in Q2 it was 788,000 tons. We reckon similar to comments on operating income per ton, on a ferrous volume point of view, we could come in somewhere in between those two levels. And then finally getting to your question on nonferrous, we would not expect nonferrous volumes in the first quarter to be within the range of what we've achieved in the fourth quarter. So you will see nonferrous volumes go down by a double-digit percentage in the first quarter. But again, all that is within our expectation of the operating income per ton and I just outlined. So I hope that's helpful.
Tyler Kenyon: Sure, very helpful. Thank you very much. I'll jump back in queue.
Operator: Thank you. At this time, I would like to turn the call over to management for any closing remarks.
Tamara Lundgren: All right. Thank you, operator, and thank you all for joining us on our call today and for your interest in our Company. We look forward to speaking with you again when we announce our first quarter fiscal 2016 results in January. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This concludes your program. You may now disconnect. Everyone have a great day.